Operator: Good day, and thank you for standing by. Welcome to the Q3 2021 Valley National Bancorp Earnings Conference Calls. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session [Operators Instructions]. Please be advised that today's conference is being recorded [Operators Instructions].  I would now like to hand the conference over to your speaker, Travis Lan, Head of Investor Relations. Please go ahead.
Travis Lan: Thank you. Good morning, everyone, and welcome to Valleys third quarter 2021 earnings conference call. Presenting on behalf of Valley today are President and CEO, Ira Robbins; Chief Financial Officer, Mike Hagedorn; and Chief Banking Officer, Tom Iadanza. Before we begin, I would like to make everyone aware that our quarterly earnings release and supporting documents can be found on our Company Web site at valley.com. When discussing our results, we refer to non-GAAP measures, which may exclude certain items from reported results. Please refer to today's earnings release for reconciliations of these non-GAAP measures. Additionally, I would like to highlight Slide 2 of our earnings presentation and remind you that comments made during this call may contain forward-looking statements relating to Valley National Bancorp and the banking industry. Valley encourages all participants to refer to our SEC filings, including those found on Form 8-K, 10-Q and 10-K for a complete discussion of forward-looking statements. With that, I'll turn the call over to Ira Robbins.
Ira Robbins: Thank you, Travis. And welcome to those of you on the call. As usual, I will provide some big picture thoughts on Valley's position and future opportunities before turning the call over to Mike to discuss the quarter's results. In the third quarter of 2021, we report a net income of $123 million, earnings per share of $0.29 and return on average assets of 1.18%. The quarter's strong financial results benefited from our differentiated loan growth, which helped to absorb $10 million sequential reduction in PPP income. Our net interest margin remain stable and our strong loan growth pipeline should result in continued non-PPP revenue growth going forward. I am proud of our financial results and the progress that we have made as an organization over the last few years. When I took over as CEO, we laid out a plan to enhance our profitability, improve our funding base and bolster our capital and reserve positions. Despite a challenging operating backdrop, I believe that we have achieved each of these goals. Since the end of 2017, our ROA has improved from 80 basis points to 120 basis points while the balance sheet grew by over $17 billion or 70%. We have brought our loan to deposit ratio well below 100% while significantly improving our low cost core deposit base. Our tangible common equity ratio has increased 100 basis points and our allowance to loans is up over 40 basis points. While we have developed a leading regional bank, our sites are now set on positioning Valley for continued success during the next phase of our evolution. We have begun to introduce and expand nationwide business capabilities that are not constraint to our legacy geographic footprint. These capabilities will be the result of both internal development initiatives and the acquisitions that we have announced over the last few months. From an organic perspective, we have developed robust HOA, cannabis and digital banking offerings, which each contribute valuable funding diversity and represent levers for continued growth. We also operate national lending verticals, most notably in the equipment finance, premium finance and healthcare areas. We have also leveraged our relationship focused commercial lending expertise to enter new markets, including Philadelphia, Nashville and Atlanta. On the acquisition front, we have sought out like-minded partners that we believe will accelerate the next phase of our evolution. Banking with technology banking and private banking businesses will continue to expand Valley beyond our legacy markets. These differentiated commercial funding verticals will augment the Valley specific initiatives that I mentioned previously. As we continue to capitalize on these unique funding niches, we will continue to be less and less reliant upon our branch network. This will enable us to reduce our physical infrastructure and invest in technologies and differentiated business capabilities. This strategy has not been set in a vacuum and we are not sitting idly by as the banking industry undergoes massive change. Historic levels of bank M&A have left a void for companies like ours that are able to combine comprehensive and differentiated private offerings with the agility and high touch service of a smaller organization. As we capitalize on disruption around us, Valley is positioned to be a high performing and highly valued company that succeeds in the new age of banking. With that, I'll turn the call over to Mike Hagedorn to discuss some of the quarter's financial highlights.
Mike Hagedorn: Thank you, Ira. Turning to Slide 4, you can see Valley's recent net interest income and margin trends with and without the impacts of PPP. Net interest income was flat for the quarter despite a $10 million reduction in PPP income. This reflected funding cost reductions and higher non-PPP loan income, resulting from our strong growth over the last few quarters. On a reported basis, net interest margin declined 3 basis points to 3.15%. However, exclusive of PPP income, the net interest margin would have been flat at 3.07%. With fewer opportunities to redeem higher cost debt, we utilize cash to modestly grow the securities portfolio during the quarter. As cash balances remain elevated, we are likely to continue this deployment for the next few quarters despite our efforts to higher average cash balance weighed on our quarterly net interest margin by approximately 2 basis points. Slide 5 illustrates the ongoing transition of our funding base. Over the last few years, we have refocused and accelerated our commercial deposit growth and rolled out new funding niches that will provide additional sources of low cost sticky deposits going forward. These efforts have enabled us to reduce our reliance on higher cost CDs and borrowings to 22% of funding from 44% at the end of 2019. Our continued focus on scaling these initiatives will benefit us as the liquidity environment normalizes. We continue to transition deposits from CDs from lower cost transaction accounts. Our active management of deposit costs in all buckets has also contributed to our recent margin stability. During the quarter, our CD and non-maturity deposit costs declined 11 basis points and 2 basis points respectively. Over the next 12 months, we have approximately $3.3 billion of CDs set to mature at an average cost of 31 basis points. While this represents another opportunity to reprice funding costs lower, the potential impact will be less meaningful than what we have experienced over the last few quarters. Slide 6 details our loan balances and origination trends over the last few quarters. We continue to experience very strong lending activity across our markets and asset classes. The quarter’s loan originations were split almost evenly and the between commercial, southeast commercial and residential and consumer. Importantly, our average origination yield increased 5 basis points and spreads remain attractive. Exclusive of PPP, loans increased 2% from the prior quarter. You can see at the top left the composition of our portfolio. Based on our view of the portfolio, approximately 45% is commercial real estate and 28% is commercial business, which includes owner occupied CRE. Our diverse loan portfolio is a key differentiator for our organization and the multiple growth levers have contributed to our strong year-to-date results. We continue to believe that loan growth will remain at the high end of the middle single digit guidance we provided previously. Our loan pipeline stands at approximately 3 billion and recent lending hires are beginning to contribute more production to our portfolio. Moving to Slide 7. We generated noninterest income of 42 million for the quarter. The 3.7 million decline in gain on sale income was largely mitigated by higher swap income, service charges and other income. Earlier this month, we announced the acquisition of Dudley Ventures. Dudley generates fee income through the placement and management of tax credit investments, and will support our efforts to build differentiated sources of non-interest income. On Slide 8, you can see that our reported expenses were $175 million for the quarter. Exclusive of tax credit amortization and both merger charges and a litigation reserve, which flowed through our professional fee line, adjusted expenses were 168 million. The adjusted increase was concentrated in compensation costs, consulting fees and the other expense category. There were a few key drivers of higher compensation costs during the quarter. The first is elevated origination activity over the last few quarters, which has impacted performance based compensation accruals and commissions. We also increased our branch compensation to preserve staffing and service levels and to keep pace with the increases in wage demand across the industry. We continue to invest in areas that we believe will drive outsized revenue growth in the future. During the quarter, we rolled out a new national deposit group and continue to attract leading talent in our digital products area. We utilized consultants to assist on other process improvement initiatives. We expect that these consulting costs will fluctuate going forward. We also recognize nearly 2.5 million of other periodic costs and for value marks during the quarter. These expenses are difficult to predict from a timing perspective. While we do not expect these elevated costs to continue in the fourth quarter, some are market driven and activity based. Since the beginning of 2018, our revenue growth has outpaced expense growth 42% to 17%. This is a strong track record in a challenging environment and we will continue to produce positive operating leverage over time. In the short term, we may absorb expenses that position us for stronger revenue growth down the road. But we remain thoughtful in the investments that we make and ensure that we execute on the significant opportunities available to us. While the timing of certain expenses and investments may cause volatility in our operating leverage in the near term, we remain committed to continuing to deliver positive operating leverage over the long term. Turning to Slide 9, you can see our credit trends for the last five quarters. Our allowance for credit losses declined to 1.12% of non PPP loans at September 30th from 1.14% at June 30, 2021. Third quarter net charge offs were de minimis and our $4 million provision was the result of the strong loan growth during the quarter. For the second consecutive quarter, an improved economic forecast led us to reduce our waiting on Moody's downside scenarios. Our model is now currently 70% weighted to the baseline scenario, which has positively impacted our reserve levels. Our non-accrual loan balances ticked up to 77 basis points from 68 basis points of total loans in the prior quarter. This increase was driven by three commercial real estate credits that transitioned out of early stage delinquency. The credits totaled $33 million and curious specific reserve of nearly $4 million. Early stage accruing past due loans declined during the quarter and our COVID related deferrals fell below $100 million. COVID deferrals now stand at just 0.3% of loans and additional detail on outstanding loan deferrals can be found in the appendix. Slide 10 illustrates the consistent growth in our tangible book value and our continued capital strength. Tangible book value has increased 9% in the last 12 months, driven by our strong earnings performance. Our tangible common equity to tangible asset ratio increased to 7.95% at September 30th from 7.73% at June 30, 2021. PPP loans reduced our tangible common equity ratio by approximately 18 basis points at the end of the quarter. Total risk based capital declined 12 basis points in the quarter as a result of the partial disallowance of certain legacy subordinated debt trenches. You will recall that, our successful subordinated debt offering during the second quarter was done partially to prefund this disallowance. We remain very comfortable with all of our capital ratios and believe that our strong earnings will support our organic growth efforts going forward. With that. I'll turn the call back over to the operator to begin Q&A. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Steven Alexopoulos from JP Morgan. Your line is now open.
Steven Alexopoulos: I wanted to start on the expense side, quite a few items came in a bit above what we were expecting. Do you guys consider the $168.5 million adjusted is a good run rate and how should we think about expense growth just given the wage pressures that you guys called out?
Ira Robbins: I'll take a stab at this one, Steven. When we look at the current expense level, we expect the fourth quarter expenses to be within a range of roughly $165 million to $170 million. But as I said in my prepared remarks, some of those expenses are in people and compensation-related areas that address specifically what you asked around higher compensation costs, especially in the retail part of our business. We also have hired, as I mentioned, a national deposits group and we also have significant hiring in our digital group as well. You may have seen recently our cannabis-related digital product offering that was recently at a trade show was predominantly seen as a new product in the marketplace. So we're making investments upfront in these areas that will result in higher growth and higher revenue down the road. They don't always obviously line up with one another.
Steven Alexopoulos: Actually I wanted to follow-up on the launch of Valley Pay, will that platform apply only to the cannabis business or is it more broad and maybe could you just walk us through the benefit that that will provide to the companies in the cannabis industry?
Ira Robbins: I think it provides the beginning of a payment platform for the industry, which really doesn't exist today. We're trying to work with our customers here to figure out a solution as to how they can connect with their customers in a safe and secure manner. So while this closed loop platform provides the initial ability for them to accept payments from a digital perspective, we do believe that there will be alternative offerings as we continue to really grow this. So we do believe that there is additional opportunities associated with this. And that said, I think as we think about the growth here, and whether it applies to different industries, I think there's definitely opportunities and one of the things that we're fortunate to be is the size organization we are. Weâ€™re able to hire some wonderful talent to come here and look at doing things a little bit differently. We were able to stand up this platform in 6 months, which I think is unique compared to other organizations are able to really do, and that culture that environment, I really do think creates opportunity when it comes to multitude of different product sets throughout the organization.
Mike Hagedorn: And I'll add one more thing, maybe to the end of that, as I said in my prepared remarks, operating leverage is very important to us. And so we haven't lost sight of that over the long haul, and neither should any of the sell-side analysts as well. But as you well know, cyclicality and expenses sometimes come into play and there's times to invest when the market conditions are right and there's times to scale back and it's our belief at this point right now that scaling up in certain areas makes sense given what's going on in the broader economy.
Steven Alexopoulos: And then my final question just on this acquisition of Dudley Ventures, can you just walk us through their business model and what type of financial contribution, should we expect from that deal?
Ira Robbins: Yes, the financial part of it, we haven't talked about publicly. So it's not going to be material from a financial perspective. But essentially what Dudley does is, they are a tax credit recipient from the federal government and then they work with clients who want to have tax credits as part of their investment portfolio. So they’re the entity that makes sure that those credits get to the right places, there have been several banks that have been in this industry as well. But I think the bigger part of this is, it's another thing that we can do to effectively and sell into our existing customer base. That's really the reason that we did this.
Operator: Our next question comes from the line of Michael Perito from KBW.
Michael Perito: I want to stick on the cannabis sector for a second. I was wondering Ira if you're willing to kind of try and size up the market share opportunity in somewhere the addressable market there for us. I mean it seems like it was only a handful of banks really operating in the space in any way today, and most of them at least that I read, it's more of just like, hey, we're willing to take your deposits not really anyone that's trying to really provide kind of solution to any points of friction like Valley Pay theoretically might solve. So just curious if you could help us maybe kind of think about the overall scope of that market I mean it seems like you guys are kind of fast movers here I’m just trying to get a better handle of that?
Ira Robbins: I definitely think our approach is very differentiated to your point, Michael. Most of our competition in the space has looked at it is how we can benefit them from a deposit or from a fee perspective. And our approach has been very different in talking to our potential customers and current customers as to how we can be advisory and think about solutions for them that really makes sense. So we started out targeting the multi-state operators, and we have a very strong relationship with each of them as to how we think we can provide benefits to them as they think about growing their overall businesses. Keep in mind it's a very immature business at this point, which creates a lot of opportunity for us to think collaboratively with them as to how we can provide value for them, which also nurse our overall bottom line. It's a very segmented business today and we think that we provide a leading opportunity to gain significant market share in this business today.
Michael Perito: And the Valley Pay, are there deposit opportunities around this payment infrastructure like I'm trying to kind of think about the technology itself and I think of some of the other like, there is some of the real-time payment platforms at some of your competitors have done where - there is actually decent deposit generation because people have to hold cash with the bank to move it around? Is there, kind of longer term as more people adopt this payment technology that you guys are rolling out, is there kind of deposit growth opportunity that kind of moves lockstep with it?
Ira Robbins: Absolutely, this is a closed loop platform, which basically provides an opportunity from a deposit perspective from the dispensary side, as well as from the consumer side. So we think we'll be able to gain deposits on both sides, and once again it's a market that is very difficult to enter today. It took us 18 months to begin to get into this as to how we thought about the risk appetite, the compliance components associated with it and stand up the overall platform and once again, work with our customers to make sure that we're providing a value added service to them. So we think there is absolutely deposit opportunity on both sides here because it's a closed loop platform, as well as being a fee opportunity.
Michael Perito: Just two more things I want to hit on quickly, just Mike, I was curious if you could maybe try to an update on how you think the balance sheet is positioned for higher short-term rates, obviously there's a lot going on and kind of beneath the engineer and then the funding base is kind of moving towards some lower cost seemingly maybe more sticky instruments, and the loan portfolio is more diverse than it's been historically. I was wondering if you could just provide some updated thoughts once all these deals are kind of put together where you think the bank positioning stands?
Mike Hagedorn: Yes, I think our positioning is probably never been better in the history of the company to be honest. I know in the last decade plus we've never had a lower cost of deposits at 18-basis points and as you can see in the investor presentation, the loan yield-on newly originated loans is actually up 5 basis points. So we feel really good about both sides of the balance sheet as it relates to how we're funding ourselves. The growth there speaks for itself, it's been unbelievable and what's going on the lending side, which on an 8% linked quarter annualized basis we feel it's right in line with what we've talked about, but we feel very good about that as it relates to the future. As it relates to changes in interest rates, you can see that in our SEC filings, we are asset sensitive and maybe not so much to your question but I think it's important. Leumi that will be part of our organization, soon will get approvals will be part of our organization next year. They are also asset sensitive and that's going to help us become even more asset sensitive. And -- just to dimension that in an up 100-basis point parallel change in interest rates, our net interest income would be expected to go up somewhere in the neighborhood of around 4% or so. And I think as we continue to work with our cash balances as well, you're only going to see that number increase.
Michael Perito: And that 4% that's just where the balance sheet stood at quarter end. So moving with it - did additive to that correct?
Mike Hagedorn: That is correct.
Michael Perito: And then just lastly, then I'll hop out is just on the credits. I appreciate the color. There were, a pickup in non-accrual, some pickup in delinquencies across several of kind of some of the reporting New York City Metro banks, will generally call it. And just curious if there is anything kind of more brewing or anything you're keeping your eye on as -- I mean it seems like the instance were fairly isolated, but to see it happen at a few banks. I'm just curious if there is some kind of, real estate churn that might -- maybe get value down or anything that we should be mindful on the credit side, as we move into next year?
Tom Iadanza: So I'll give you an answer on that. As you saw our accruing past dues went down pretty much in relation to the increase in those delinquencies specific to three loans totaling $33 million all independent separate borrowers, all three were in COVID-impacted industries, two in retail, one in hospitality. We certainly watch it very, very closely. We're properly reserved. We don't expect any losses. We have good loan to values and guarantees where appropriate on that. Just want to remind you our portfolio continues to be very granular and very diverse. Our loan production on the real estate side for the third quarter, the average loan size was $3.6 million. So, we still look at that maintaining our underwriting standards, maintaining a granular portfolio, much more suburban than urban on what we do. On the commercial deferrals, we have $79 million in commercial deferrals, 96% of that is current on interest, only a very small percent has principal deferrals. So we don't expect any material migration into any further non-accruals.
Operator: Our next question comes from the line of Steven Duong from RBC Capital Markets.
Steven Duong: Just on the rate sensitivity just curious on the 100 basis points of 4% uptick in NII. What's the beta assumption behind that, is there a lag to the data at all?
Travis Lan: Steven, it's Travis Lan. So I mean that's an instantaneous shock in our assumption there, is that all the brokered and CDs stuff reprices at 100% beta or beta of one I guess. And then the more transaction-oriented accounts reprice with the beta between in 20 and 35 basically. So that's the assumption that gets based in there or baked in there. You can see in our last Q and you’ll see in our upcoming Q in a couple of days right that, plus 100 basis points in the last Q changed NII by 3%. So I don't think any of this is directionally in consistent with what you would have expected before.
Steven Duong: And then just on the Valley Pay app, is that an asset you guys are developing in-house or is this a white labeled app?
Ira Robbins: It's really, I mean, I guess and I think you should be thinking more about a whole digital payment ecosystem, Steven as opposed to just what this individual app is. Something we've been able to build internally with our partners obviously and working with partners as we continue to roll this out. We do believe there is opportunity once again from fee income perspective not just directly for this, but from a fee income perspective as to how we think about working with other banks that do potentially look at getting into this business down the road.
Steven Duong: And then just maybe just one last one, just on the non-accruals. We go back in time, your non-accruals right now 77 basis points, do you -- is there a kind of a level that you see -- that you guys are, when would you not be comfortable with the non-accrual levels?
Ira Robbins: I think we're confident that the non-accrual levels should not migrate upwards from where they are and again we monitor watch closely maintain our underwriting standards and a very granular diverse portfolio.
Mike Hagedorn: And I'll add to that real quickly that, while I'm not going to give you a number, because I think it's market dependent and obviously depends upon the size of the portfolio as well. I think the bigger issue here is, these are still very low numbers on a relative basis and as you look backwards since you asked about looking backwards, if you look backwards, you'll notice that our loss history including non-accruals migrating to loss, is roughly half of what our peer group was. So our credit quality, we still feel very comfortable based upon the fact that that's been the history of what we've been able to put up.
Operator: Our next question comes from the line of Ken Zerbe from Morgan Stanley.
Ken Zerbe: I will limit my questions out of respect for everyone else on the call, but in terms of loan growth, your comments about the high end of the mid-single digit guidance. When you think about growth over the next 12 months, does it really come sort of more of the same, I mean I'm looking at Slide 6, like the non-owner occupied CRE auto. So I guess that's the first part of question. And then just also, what would it take to drive higher core C&I balances?
Tom Iadanza: One thing that I'll point out here is that we had a 5% increase in our C&I commercial line commitments during the quarter. What we don't have is yet utilization. We are really not going to benefit from that growth until the utilization returns to pre-pandemic norms. So, we are increasing C&I customers. The new hires that we on-boarded, they represented about 7% of our quarterly production and 55% of what they produced with C&I related. So we are starting to see that and keep in mind previously we put together a focused C&I sales process that we've been running for a couple of years here now. It's got slowed down a bit during the pandemic, but we are very focused on generating C&I business. We're seeing it through the new hires. We're seeing it in our line commitment growth and ultimately, we're going to see it in the utilization.
Ken Zerbe: And the rest of the question, just in terms of like other areas of growth?
Ira Robbins: I didn't get that second part.
Ken Zerbe: The first part of my question was just, I appreciate your comment on C&I, my point was in terms of other areas of growth?
Ira Robbins: I think you're going to see consistent in those same buckets you're seeing growth in that owner-occupied real estate, which is really C&I related that represent probably 30% of our production during the quarter. We have expanded into Pennsylvania, Nashville and Atlanta. We're seeing strong growth in pipelines and production in each of those markets. And I'll just remind people, it's a very methodical approach to how we enter their contiguous to offices we presently have. We go in there, first with customers, understand the market and then we add local lenders and leadership in that market to grow it further. You're starting to see traction there, pipeline in Pennsylvania alone is almost $300 million in the Nashville, Atlanta, it's in $250 million range and we've already produced and closed loans in each of those markets. So you'll continue to see that. That's going to be primarily real estate related. We continue through these new hires to focus on C&I, we're seeing their production increase quarter-to-quarter.
Ken Zerbe: All right. Thank you very much.
Ira Robbins: And just, I guess you asked also about the consumer piece, strong pipeline still in the resi side, we are experiencing what we had reported last quarter, a reduction in the auto side, mostly due to supply chain, and we're seeing a strong migration on the resi purchase piece down in Florida, which now represents 26% of our production up from 20%.
Operator: Our next question comes from the line of Matthew Breese from Stephens, Inc.
Matthew Breese: First going back to expenses, you mentioned $165 million to $170 million for the fourth quarter, is that all in or excluding amortization?
Ira Robbins: Excluding the tax credit amortization that we typically back out as we adjusted expenses. So if you look at our adjusted expenses this quarter $168.5 million, We think it's kind of right in the middle of what that range we laid out for the fourth quarter would be. Please don’t forget in the fourth quarter we're also going to have some impact on top of that from Westchester, which we expect to close on December 1, and there will be obviously noise related to merger charges on both transactions.
Matthew Breese: And then you mentioned also that we should expect some fluctuation in consultant related expenses. Is there a band of fluctuation you can share with us that we should just be aware of and grow custom to at least in the near term?
Ira Robbins: No there is not a band, but this kind of follows investments right mostly around technology. So when there is a ramp up you have an increase in that. Honestly, the reason they're not called off are called out on Slide 8 is individually any one of them isn't material from a perspective, from a GAAP perspective. Collectively, maybe they're not quite material, but they're getting there and that expense is going to move up and down based upon the various needs that we have and the various technology projects that we have. So it's very difficult for us to look several quarters into the future and say with certainty what those expenses will be.
Mike Hagedorn: Yes, maybe I can just add a little bit on top of that to. If you back out the merger and the litigation reserve from that professional fee line Matt, there is about a $2.5 million increase quarter-over-quarter, about $0.5 million of that was on the legal side and the other $2 million were in the consulting side, and there were a couple of consultants in there that would not recur in the fourth quarter. But it's not to say that we wouldn't have other costs to kind of backfill it, so that's why we say fluctuate if that makes sense.
Matthew Breese: And then last one from me, you mentioned, expanding into Philadelphia that totally makes sense given geography, but you also mentioned Nashville and Atlanta, which are new markets to me. I guess, those are extensions of the Birmingham presence you have. Could you just give us some update on infrastructure personnel you have at Nashville and Atlanta perhaps some indication of what loans and deposits, are there already?
Ira Robbins: The Nashville and Atlanta, yes is an extension of our Birmingham business and office. We have a real estate team in Birmingham. We have a strong customer base that are doing business in both Nashville and Atlanta. So our initial foray is following them into those markets. Just to give you kind of some numbers on it. We have already closed about $70 million of loans in those markets. I mentioned the pipeline before of around $260 million, in the last quarter we did about $65 million of new loans in those markets. So it's going to be again a slower go to start utilizing the staff that we have in Birmingham, their customers to learn those markets, and once we're comfortable, we'll move into those markets with staff in each of those cities. Same way we did in Philadelphia, we started Philadelphia following customers. We now have a staff of 4 people based in Philadelphia.
Operator: Our next question comes from the line of David Chiaverini from Wedbush Securities.
David Chiaverini: I wanted to ask about fee income. You mentioned about swap income was higher in the quarter. I was curious about the outlook for the swap fees, as well as commentary around mortgage banking and gain on sale?
Ira Robbins: Yes, on the swap side -- even though it was higher in accordance relatively consistent, except for one very large quarter we had last year. We expected to stay at that level for the fourth quarter and into the foreseeable future based on existing pipeline. The same with the gain on sale, we expect it to be in a similar level to what we reported in the third quarter.
Operator: At this time, I'm showing no further questions. I would like to turn the call back over to Ira Robbins for closing remarks.
Ira Robbins: Thank you, Gigi, and thank you everyone for taking the time to listen to our comments today. We look forward to speaking to you next quarter. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.